Operator: Ladies and gentlemen, good day and welcome to the Infosys Earnings Conference Call. As a reminder, all participant lines will be in the listen-only mode. There will be an opportunity for you to ask questions after the presentation concludes. (Operator Instructions). Please note that this conference is being recorded. I now hand the conference over to Mr. Sandeep Mahindroo. Thank you, and over to you sir.
Sandeep Mahindroo: Thanks Inba (ph). Hello everyone. I’m Sandeep from the Investor Relations Team in Bangalore. Welcome to the Infosys call to discuss future strategic roadmap, along with the Q2 FY’15 earnings release. Joining us today on this call is CEO and MD, Dr. Vishal Sikka; COO, Mr. Pravin Rao; CFO, Mr. Rajiv Bansal, along with other members of the senior management team. We'll start the call with some remarks on the strategy of the company by Dr. Sikka, followed by comments on the performance of the company. Subsequently we’ll open up the call for questions. Before I hand it over to the management team, I would like to remind you that anything which we say, which refers to our outlook for the future is a forward-looking statement, which must be read in conjunction with the risks that the company faces. A full statement and explanation of these risks is available in our filings with the SEC, which can be found on www.sec.gov. I’d now like to pass it on to Dr. Vishal Sikka.
Vishal Sikka: Thank you Sandeep. Good day everyone. Before we get into the results of this quarter, I would like to take a few minutes to give you my perspective on the road ahead for Infosys. I started my journey as the CEO of Infosys about 70 days ago, and each day has been a tremendous experience, simultaneously exhilarating and humbling, but also challenging and yet a familiar one. Infosys is an iconic company. Our company has been instrumental in putting India on the technology map, in pioneering the global delivery model, which transformed the industry and for being the engines that train the top talent in the industry, and all of this while maintaining the utmost standards of honesty and integrity which others have measured themselves by. As we look ahead to the next 33 years of Infosys, we not only aspire to achieve constant profitable growth as Mr. Moorthy used to say, but indeed get back to being the bellwether company for our industry, leading it in both growth and profitability. And we want to do that on the basis of innovation, on the basis of technology, especially automation and artificial intelligence technologies and on the basis of amazing people who are amplified by technology, by the knowledge, the imagination and the conviction and the community and the ecosystem they bring with them in Infosys. We believe that this will result in a much higher productivity and a deeper relevance of each individual. I believe that this is a human revolution. We want to bring about this revolution on a foundation of learning and on the basis of excellence with the most modern technologies such as the latest platforms and architectures and the most advanced capabilities in AI and automation and we have already started down this path. Artificial Intelligence as a domain is often misunderstood. It is often associated with the precipitation on the acceleration of human irrelevance. Having studied AI at Stanford and at Syracuse before that, and at the feet of the pioneers in AI, I happened to see this differently. This pessimistic description is not correct. Technology for centuries has always been about the amplification of us, the amplification of the human; not making them irrelevant, and AI and automation is no exception to this. So we see an opportunity to launch a great human revolution, where we are able to achieve much higher productivity levels, to bring much more innovation, where we are able to paraphrase Prof. Mashelkar, ‘Do More With Less For More.’ I refer to this as the next generation of services and we are building Infosys into such a next generation services company. Over the last 70 days I have interacted with dozens of partners, 100s of clients and tens of thousands of employees and it is very clear that the world around us is being profoundly reshaped by software and by software driven technologies. As a result of this and to best serve this transformation and to best achieve a relevance in the world of the future, we see every business adopting a dual strategy. On the one hand to renew their existing systems and existing landscapes and their existing businesses and at the same time complement this renewal with entering into new business areas, new business models and build completely new solutions for these, often in areas where there was never software for those before. And this duality of renew and new also applies to us at Infosys equally well. We must bring this duel opportunity to life and we must do so within the underlying fabric of our culture. When we think about the renew portion of this equation I believe that everyone, every company in every industry has a need to renew and rethink their existing systems and processes, to enable these systems and processes for new kinds of access, mobility, analytics and big data, sensors and adaptive behavior, as well as move this systems to the could for achieving better scalability, better economics, better elasticity. And for Infosys, this means a renewal of our existing business lines, whether it is consulting of BPO, whether it is application development and maintenance or infrastructure management, whether it is implementation and integrating package systems or building completely new engineered solutions, whether it is verification or implementations, everything. And for Infosys it also means IP excellence with our Finacle and Edge products and an investment in assembling and building platforms and tools using existing technologies, using open source technologies, using propriety technologies from our partners, as well as our own IP. But each company needs to achieve this renewal through an improvement in their own operational efficiency and productivity and for Infosys this means an investment in automation and innovation and in our own operational efficiency. And similarly on the new side of this equation, we see a need for every business to find new software driven ways of connecting their ecosystem and their entire value chain, and new ways to create engagement with customers and understanding of customers to explore new markets and new business models and to build systems for these that have never existed before, in new ways on new kind of technology platforms and for Infosys this new dimension means working on our information platform, working on elevating our client conversations and helping our clients find and execute against their needs of the future. It also means offering new kinds of services using approaches like design thinking and co-creation. It means entering into new strategic partnerships, as well as work with startups and new kinds of companies to help us fill the gaps in our own value chain and this entire renew and new has to be done on a foundation of culture of engagement and of purposeful work. At Infosys we will double down on learning and education for all of us and indeed engage in life long learning. Let me drill down into the renewal of our services and offering the new services in a little bit more detail. Taking a service line view, in consulting services we will leverage the glue of our platforms, our integrated services and a deep business expertise to bring the best end to end solutions to our clients and further we will apply the power of design thinking to define the future systems and solutions for our clients. In business process outsoaring and business process management, we will invest in the advanced application of automation and artificial inelegance, and a deep focus on process improvement, on process innovation and help accelerate our clients move to best practices across domains, as they are most trusted and reliable business partner. In product engineering this is a key focus for us, we will bring our unique and complementary competency in the mechanical and electronic domains, where we design the great products of the world from airplanes and airplane parts to security systems. From drills to cars, from oil fields to routers and seek to relieve the massive value that lies at the intersection of the physical and digital world. And once we have done the design of these kids of products. We will focus on capabilities like predictive maintenance, machine learning and intelligent and adaptive systems across industry verticals, to derive a new value across this chain from the design to the deployment of products and in doing so we will also improve the way that we bring these products to life in software, by bringing together techniques in CAD, in product design together with the software design and development experience. In application development, our aspiration is to rethink the development experience to improve developer productivity dramatically. We are working on the Infosys development platform that will consolidate tooling and experience and build around rapid, agile, techniques, integration of development and operations, design thinking methodology and in brining AI capabilities and new abstractions into the development and offering experience, which to a large degree has not changed over the last several decades. In application management and testing, we will invest in areas like automated source code analysis, automated upgrades, automated regression testing, etc… and infrastructure management, we are adopting an open plus differed approach with reference architectures, put together with our partners in infrastructure that can help us simplify the complex landscapes of our clients, as well as doing a massive embrace of artificial inelegance and automation techniques to help bring a dramatic efficiency improvement in the way infrastructure of enterprise clients is managed. We have already embarked on this journey with partnership with infrastructure players, as well as tooling companies and we will do more. On the product side, we are building the best-in-class core banking platform with Finacle and our focus will be to enhance the end user experience of the products and to create an ecosystem of extensions in areas like analytics, mobile banking, digital commerce and inclusive banking. We are seeing rapid traction with our Edge suite of products in major companies around the world, across industries, in helping achieve a dramatic new economics and ease of experience in the frontline areas that are critical to enterprises. This will continue to be an important offering from Infosys and we look forward to growing this business significantly in the coming years. With big data in analytics, we are proposing an Infosys Information Platform, an enterprise big data platform that combines open source software with partner technology tools, as well as our own, and we want to bring this to life at our client at a cost that is a fraction of the previous generation approaches towards these areas. And Infosys can enable startup companies to attain dramatic improvements in engineering speed, in scale and achieve a global reach by helping them amplify and accelerate their development as they grow and helping them achieve their engineering goals, as well as their operational goals much more efficiently and in an accelerated way. We will combine this extension of the engineering of startups, we’ll join go-to-market with them, as well as strategic venture investments, to bring Infosys into close collaboration with today’s small companies, cutting Edge companies that will be great companies of the future. And to support of these service line innovations, our strategy will be to renew and rethink our own existing systems and processes; our processes for sales and marketing, for people and talent, for IT systems and for operations and administration. We will offer a unique combination of career mobility, learning and technological challenges to retain our top talent and we will renew our workforce through diversity of every sort globally and on minimizing our distance to customer value. Often in large organizations we see an endemic where middle tiers in the organization loose their distance to this value and we are striving to minimize that as we renew ourselves. We will also embark on an active inorganic strategy, focus on acquiring core capabilities, not on acquiring yesterday’s revenue and yesterday’s technology, but in achieving efficiency in acceleration of a road map towards the future, with automatic technologies, with new thinking in collaboration and advanced new areas, as well as to expand in under penetrated and high growth markets and in new geographies that are strategic to us. In doing all of this we believe that we will greatly improve our competitiveness in the market, especially to win large transformational projects and to expand our relationships with each of our clients and achieve a disproportionate growth in emerging markets. We believe that we will better position ourselves to lead our clients into their future with relevant innovation in offering in new areas and we will increase operational excellence, so that we are able to confidently invest for growth. We have already started down this path, by making investment into these areas and are already seeing early results and evidence of success. We have been collaborating with universities. In the last 70 days we have established programs with Stanford for the Institute for Computational & Mathematical Engineering, a premier provider of data science and data scientist, as well as a design school faculty members in helping establish a massive embrace of design thinking at Infosys. We also partnered with the East China Normal University to help teach the teachers, as well as other universities in Europe like TU Berlin in areas around working with startups and in advance technologies. We have been establishing partnerships with Microsoft, with Hitachi, with Huawei, as well as expanding our partnerships with Oracle and SAP. Engaging with startup companies in innovating and investing in ways to engage with our employees such as the Murmuration, an initiative that we launched and we already have a few dozen POCs going of the Infosys information platform and on Big Data. All of this tells us that a new, a next generation services company is on the horizon. We believe that a company that brings in capabilities such as the ones that I have outlined will be a next generation services company. We believe that Infosys can not only be such a next generation services company, but can once again define what it means to be an IT services company. A great company based on innovation, that is founded based on a foundation of intellect and values. We, myself our entire leadership team, our board and the entire employee population of Infosys is 100% committed to these goals and we look forward to the rest of the journey. In the coming quarters I look forward to sharing with you more detailed plans of our execution on these strategies and more tangible articulation on what these strategies will mean for our business, our investment and their expected outcomes. Let me now talk about the business highlights for the second quarter of this fiscal year. Our U.S. dollar revenue grew 3.1% as reported and 3.9% in constant currency. Our growth was quire broad, across most of our industry verticals, across geographies and across service offerings. By itself our services business grew by 3.6% in reported currency and 4.4% in constant currency. Volume growth for this quarter was 3.0% and per capita revenue growth for IT services was 0.6% in reported terms and 1.3% in constant currency terms. Our operating margin for the quarter, went up by 100 basis points to 26.1%. This is good, because it allows us to better plan our investments for growth and this is despite one time investments that we have made that Rajiv will outline later. Earnings per share for the quarter was $0.89, which is a quarter-over-quarter growth of 6%. We added 49 new clients during the quarter. The gross employee addition was over 14,000. We have taken several initiatives over the last few months to address some of the attrition issues that we have had and these are now beginning to yield positive results, with attrition declining month over month during this quarter. This continues to be an important area of attention for us. Our quarterly performance has enabled us to pay our employees on average 100% of the bonus for Q2 for the first time in 16 quarters. As mentioned earlier, winning large annuity engagements continues to be an important part of our strategy. During this quarter we signed seven large deals with a TCV of $600 million; five deals were in the Americus, one in Europe and one elsewhere in the world. Two were in financial services and one each in Retail, Manufacturing, Telecom, Life Sciences and Energy and Utility. The overall deal pipeline and decision cycles have remained steady over the last three months. Pricing also remains stables in most areas. Some commodity areas are seeing a downward pressure, whereas other innovative areas have opportunities for us to deliver and achieve much great value. Our products and platforms business which was established as EdgeVerve Systems, a wholly owned subsidiary of Infosys in the last quarter is seeing increased momentum with prospects and clients and we see great opportunities for EdgeVerve as I articulated earlier. We have maintained our revenue guidance for financial year 2015 to 7% to 9% despite significant cross currency movements during the year. As you can see, we had a very good quarter, one that we are proud of, and as I mentioned in my strategy description earlier, we are looking forward to growth in the coming quarters and to sharing with you additional details as we go forward and build out a deeper operational plan based on the strategies that I have mentioned. With that, let me hand over to my colleague and my friend and our COO, Pravin.
Pravin Rao : Thanks Vishal. Let me talk about highlights in various business segments. In financial services we had a growth of 2.5% on constant currency basis quarter-on-quarter for the services part. Other challenges remain in this sector with many banks looking at cutting back spend on both, Run the Business and Change the Business programs. There is intense focus on efficiency improvements, as well as spend in the areas of risk and compliance, client facing initiative, digital and new products. Recent cycles are slightly faster compared to 12 months back. In the insurance, Digital and Big Data are gaining prominence along with analytics. New demand and deal pipeline in the sector is good. In cards and payments, digital and technology modernizations are the top two trends. There is a lot of focus on security given this state of breaches of late. Retail and CPG continues to see challenges due to postponement of large initiatives and long duration cycles. While pipeline is healthy, there are delays in ramp-ups of programs won earlier. Retailers are extensively focusing on digital commerce and analytics, while CPG companies are focusing on cost reductions and brand building. In manufacturing, there is an increase in spend in high-tech lead by ISVs, Telco OEMs and devices and equipment. Trend in industrial manufacturing in also increasing, while auto is flat and aerospace is experiencing a reduction in spend. Growth in the sector is largely driven by Americus on both discretionary and non-discretionary sides. In telecom the industry trends remain similar to last quarter, with decline in top-line in both wire line and wireless, squeezing spend and triggering consolidation in the sector. LAN focus is on customer experience improvement, churn reduction and operational efficiency. While we say another quarter of strong in quarter two, we expect growth challenges in the upcoming quarters as mentioned earlier. In energy, while super majors are focusing on improved operation efficiency, oil field services clients are witnessing, increased activity in the international market. Clients are looking for efficiency improvement, application rationalization and better business intelligence. Decision cycles remain stable in this vertical. Life Sciences in witnessing mergers and acquisitions and diversification activity, due to which division making is slow. Additionally (inaudible) is leading to cost cutting by clients. There is an increase in activity in the ERP transformation, Digital Managed Services, SaaS based solutions and complaints. There is a significant reduction in discretionary spend. Deal pipeline are showing some improvement, though division cycles remain similar to last quarter. In growth markets there is a demand for utility based pricing and asset service models. There is an increase in combined IT BPO deals and cloud infrastructure deals. Deal pipeline and division cycles remain steady. In BPO client conversations are more around transformation of the business processes, with clients looking up to service providers to take end-to-end ownership of that processes. Though cost continued to drive outsourcing, discussions around value and domain expertise are becoming predominant. Finacle growth was impacted during this quarter due to delay in deferment of closure of some of the large deals. Markets for Finacle continues to remain soft due to its discretionary orientation and client preference being towards step changes rather than large transformations. In cloud and infrastructure services, demand is high and adoption of public cloud in on the rise. Our strategy to help simplify and industrialize client operations and helping them avoided to leverage Digital and cutting Edge technologies is a clear differentiator. We have been rated as a challenger in the Gartner rating for 2014 for North American Data Center Outsourcing, which is a significant improvement from operation in 2012. With regards to digital, we had strong growth in quarter two in Americus, led largely by retail and CPG and manufacturing verticals. Digital is on top of our agenda for most plans, thereby leading to strong demand. I will now hand over to Rajiv to talk about financial highlights.
Rajiv Bansal : Thank you, Pravin. For the next few minutes I’ll take you through the financial highlights for the quarter. Revenue for the quarter was at $2.201 billion as against $2.133 billion last quarter, which is a sequential increase of a growth of 3.1%. During the quarter major global currencies depreciated against the U.S. dollar. For example, the euro depreciated about 3.8%, Australian about 1.7% and GBP by 1.5%. This has impacted our reported growth by approximately $16 million during the quarter; revenue growth in constant currency is at 3.9%. It is important to note that the revenue growth for IT services alone was at 3.6% in reported terms and 4.4% in constant currency terms. The Finacle and BPO continued to have growth challenges. BPO grew by only 0.7% during the quarter. While the softer growth in BPO was cyclical and we expect it to recovery in the coming quarters, the Finacle continues to have growth challenges something that we are aware off and are working on the product. It has sequentially declined by 5.4% during the quarter. On the margin front, the rupee has deprecated by 1.3%, against the U.S. dollar during the quarter, which has resulted in a positive impact of 0.3% on operating margins during the quarter. Our gross margins for the quarter were at 38.5% as against 37% last quarter. Operating margins for the quarter went above 100 basis points, to 26.1%, net margins for the quarter was at 23.2% compared to 22.6% last quarter. The increasing operating margins were primarily driven by an increase of 2.2% in utilization from 80.1% last quarter to 82.3% in the current quarter, an improvement in on-site mix from 29.2% in the previous quarter to 28.7% in this quarter and the rupee depreciation that I spoke about earlier. The expansion in margin is after making significant investments in the business during the quarter. We promoted around 12,000 employees during the quarter, the highest we have done in any single quarter in the history. We will be paying as Vishal mentioned, an average of 100% bonus to our employees during the quarter. We have increased our investments in customer delivery, education and training and in sales. We contributed $30 million U.S. dollars to Infosys Foundation for the quarter ended 30 September 2014 for CSR activities. Other income for the quarter was at $144 million U.S. dollars, which included a ForEx gain of $24 million. Yield on other income was at 9.34% during the quarter. We have outstanding hedges of $1.027 billion as on September 30, 2014. Effective tax rate for the quarter was at 29%. Cash and cash equivalent, including available for sale assets and certificates on deposits were at $5.443 billion as on September 30. We saw good collections during the quarter as the results of which, the DSO for the quarter dropped to 62 days as compared to 66 days last quarter. I’m happy to inform you that the broad has declared an interim dividend of INR 30 per share, which will be approximately $0.49 based on the currency exchange rates. The Infosys Board has also recommended a one is to one bonus of issue of equity shares and one is to one stock dividend of American Depositary shares to increase liquidity of the share and expand the shareholder base. I’ll briefly touch up on the outlook for FY ’15. The guidance for the year has been maintained at 7% to 9% in spite of significant cross currency moment between the last few months. As you would have noticed, the present markets have been extremely volatile and more of the major currencies have depreciated against the U.S. dollars. For example, the euro has depreciated by 8.8% against the U.S. dollar between March and September. The Australian dollar has depreciated by 5.7% and Swiss Franc by 7.9% during the same period. On the margin front we have seen an expansion in margins during the quarter on account of strong operational performance. Historically Q3 and Q4 has been soft quarters for us. We continued to make substantial investments in our business to accelerate and sustain our growth. We expect the operating margins to continue to be around 25% for the year, plus or minus 1%. However, the seen may vary quarter-on-quarter depending on our investment requirements. With that, I’ll open the floor for questions.
Operator: Thank you. (Operator Instructions). Our first question is from Moshe Katri of Cowen and Company. Please go ahead.
Moshe Katri - Cowen & Co: Yes, thank you very much. First is for Dr. Sikka. Based on the steps you are planning to take to transform the business, how should we think about it in the fee margin (inaudible) years and then also in the long run (inaudible) beyond. Second one for Rajiv, well speaking (ph) about the application, how should we think about utilization for fiscal year 2015 versus hiring time and thank you and best of luck?
Dr. Vishal Sikka: Moshe, let me address the first part of your question and then for the second one Rajiv can answer that, but it wasn’t very clear, so perhaps when I’m done with my answer you can repeat your second question. So with regard to the growth ahead and the margins, as Rajiv said, we are presently maintaining our margin outlook. The strategy that I have outlined, it will take time for this to take shape and to start getting reflected in a meaningful way in the P&L. Having said that, and over the next couple of quarters, we are going to further outline this in much more detail and quantitatively to give you better guidance, both in terms of investments and capital allocations, as well as in terms of the forecast on growth and outlooks. Having said that, we do feel very confident about the long-term growth of the strategy, the long-term growth, as well as profitability of the strategy that we have outlined. Such that new service and the next generation services company, as I envision Infosys to become – would see a significant growth, as well as profitability at the same time. And one other point that I would like to make is, as we detail this and given the inherent latencies in the business even though the results will take time to get there, we are already seeing the first early signs of success of the strategy in an engagement that we are starting to do with clients, both in terms of renewing our existing services, as well as bringing new services to life. So the journey ahead is going to be one where it will take some time to achieve the meaningful impact but at the same time we are going to get there incrementally and not that the results will show up in a big bang down the line.
Moshe Katri - Cowen and Company: Okay and then the second part, that’s for Rajiv. As I said, at current utilizations, it’s at peak levels right now. Should we expect these to move higher or should be (inaudible) hiring right now given the demand that you are seeing.
Rajiv Bansal: Moshe, I’ll try answering, but I couldn’t get the complete question. I think the line is not very clear. But our utilization for the quarter is at 82.3%, which is an all time high. I haven’t seen this kind of utilization over the last many, many years. As we have been talking about over the last couple of quarters, I had been always maintaining that – I believe that the right utilization will be about 80% to 82% and over the last couple of quarters we have taken a lot of initiatives to reach that number. Having said that, I think there is a need to make investments. We have to hire ahead of time, we have to hire for the growth that see in the next year, and as a result you would see us investing more in the business, hiring more people, hiring the right skill set and that would mean that they could be in the short terms, some impact on the margins because of hiring ahead of the curve. Having said that, I think there is a lot of focus in the company on automation, on productivity improvements and this is an environment where it’s not early to get pricing increase from the customer on a year on year basis. So we have to drive productivity improvement on automation, to drive better value for our clients, at the same time improve our margins on an ongoing basis.
Moshe Katri - Cowen and Company: Thank you again and best of luck.
Operator: Thank you. Our next question is from Joseph Foresi of Janney Montgomery Scott. Please go ahead.
Joseph Foresi - Janney Montgomery Scott: Hi. My first question is just on the growth prospects for the company. I think you trailed industry growth rate for a little while and I think the initiative was to get back over those industry growth rates. Can you just revisit that particular issue and is this about improving the prospects of the core business before, you know the new plan or is this about putting both forwarded at the same time.
Dr. Vishal Sikka: Joseph, it is about putting both forward at the same time, to simultaneously renew our existing business and achieve a much better efficiency, innovation and operational excellence out of that, but at the same time complement that and augment that with a new set of services that we offer, a new set of innovative capabilities that we offer, so that the sum total of that would help us achieve over time industry leading growth and profitability, which has been our target.
Joseph Foresi - Janney Montgomery Scott: Okay and then on the attrition side, it ticked up this quarter despite I think the increased bonuses. Can you talk a little bit about why the rate continued to pick-up and what are you expecting for the attrition rate to do over the long term.
Dr. Vishal Sikka: Joseph, the attrition on an LTM basis is still, is a little bit above 20% and that continues to be of concern for us. However we have taken many steps around attrition and if you look at the month over month numbers, they have already declined, so it heading in the right direction. As I had mentioned, when I started the actions that we talk around attrition will take some time to take shape because of the long nature of these latencies of people deciding and then going through the process of leaving and so forth. So we are seeing encouraging signs here when we look at it on a month by month basis that the attrition is coming and we feel confident that both based on the measures that we have taken to improve our position on attrition, as well as now the strategy around growth and the results and we believe that a combination of these will over time bring us back down to the levels that are more normal for us in the industry.
Joseph Foresi - Janney Montgomery Scott: Okay and then the last question from me. You laid out a fairly ambitious plan for the business and given the fact that it’s been a services company for a long period of time, it seems like that culture will be changing a bit. Can you just layout for us a couple of organizational changes that you feel need to take place in order to be successful and what you think the impact of those changes will be?
Dr. Vishal Sikka: I don’t see any cyclical changes in the organization any time soon. The team, our management team, this has been my first quarter. This has been the first quarter for us to work together. It has been a great experience; it has been an amazing experience. We have a young dynamic, passionate team that is driven towards success and it has been a great experience for me to work with our team and I look forward to that. Of course as you see in the example with Finacle, as we see an opportunity to make changes and take corrective actions, we will do so swiftly. But I don’t see any structural reason to make any changes at this time. I think our team is fully equipped to go after this agenda that I have outlined. A key part to getting to kind of transformation that we are talking about, is to ensure that we continue to focus on education. Infosys is a company that heavily values education and training and learning. I believe that education is at the heart of any company’s transformation. After all if you think about it, any company that goes through a fundamental change in its business had to reeducate, has to retrain, reskill their workforce, has to get their employees to think differently about the role of the future and has to take those actions. So therefore learning and education is always at the heart of any company’s transformation, but it especially true for Infosys where education has always been at the heart of what we do. Mr. Moorthy, our Founder, you should talk about learnability, the ability to learn as the thing that is fundamental to Infosys. 20 years ago we did not have BPO or IMS or services like this. Who knows what kinds of services we’ll have 10 to 15 years from now, but we will have education then, just as we had education 20 years ago. So a strong focus on education and on learning is at the heart of our ability to transform ourselves, to be able to do these kinds of things that I have outlined and we have already taken major steps in this direction. We have been teaching, design thinking to our company. We have already started that in a massive way, in partnership with many faculty and professors from Standford’s d. school and the D Global initiative. We have already done the first training classes of design thinking for our executive management and many of our senior management members, leaders of our consulting teams, leaders of our sales teams. We have already done the first sessions of training some of our great teachers, our trainers on design thinking and as we speak we are launching a massive embrace of design thinking for all Infosians and I expect that before the end of this year, we will have trained 25,000 Infosys employees on design thinking. Similarly we are doing a huge embrace of artificial intelligence based on the CS 188 class out of Berkeley. We have been putting together a great new artificial intelligence class. I am myself doing – hoping to find some time to do some of these computer science classes and so on. So we are looking into not only using education and investing and doubling down on education as a great mechanism for our organizational transformation, but we are also looking to invest in education itself and in finding new ways to train and so forth. So more so than the management, I would advice looking at our ability to educate and to train as a great mechanism for our organizational transformation.
Joseph Foresi - Janney Montgomery Scott: Thank you.
Operator: Thank you. Our next question is from Anil Doradla of William Blair. Please go ahead.
Anil Doradla - William Blair: Yes, hi Vishal. Your commentary and vision on the whole artificial intelligence is quite interesting. Can you share a couple of key areas where Infosys could benefit materially? I mean, what is the nature of jobs in this artificial intelligence paradigm. And also as a follow-up, you talked about investments. Can you share with us what would be the nature of some of these investments? Thanks.
Dr. Vishal Sikka: We see AI as impacting many of our lines of businesses in a very fundamental way. If you look at infrastructure management for example, automation and rule based systems and so forth can have a tremendous impact in how a landscape can be managed automatically or more or less automatically where people can manage these by exception. If you look at BPO, many processes which are based on documents and voice can be revolutionized with the iTechnique, with voice processing, with text processing and image recognition and so forth, as well as rule based systems and machine learning to understand and detect correct behavior and taking actions based on that behavior. So we believe that our existing services can be significantly improved by embracing AI techniques there, as well as of course in completely new kinds of applications that we can build in complex areas and intelligent adaptive sense and response type behaviors, whether it is machines and machine based systems, whether it is in connected cars or connected vehicles, airlines, all systems where we design the system and then the system is in production, where it can be integrated into a intelligent adaptive system, can have a significant impact from AI. So the kinds of jobs there are around of course managing my exception, around modeling. Modeling of systems and system behavior, creating rules, creating the constrains around which learning can happen, these are some very high paying, high skill jobs that we are looking forward to having within Infosys and I think that that can have a great impact, both of the existing services as well as new areas that we can go into and we are starting that training in earnest. By the way, one other area that we are extremely excited about is in language processing, natural language processing, using the same information platform that I talked about earlier with open source components. We see a great opportunity in industries like insurance or banking, where automatic analysis of new stories and extraction of events and events of significance, whether it is on the risk side or on the growth side can have a great impact to our business and we are already starting to do projects in these areas. On the investment side, I would not limit it to any particular area. We are excited about many areas. Of course in the AI techniques and these kinds of automation techniques, as well as in new ways of collaborating, because remote work forces and remote abilities to work together are of great interest to us. So we are looking in many areas like that, as well as in under penetrated areas of verticals; some areas in energy, in healthcare in detail and in many geographies as well. So I wouldn’t put any particular area or a segment as a focus for investment, just a broad interest in participating in the growth of other companies.
Anil Doradla - William Blair: And if you don’t mind, if I squeeze one small question again. Can we expect M&A on some of these initiatives by Infosys over the next several quarters?
Dr. Vishal Sikka: Yes.
Anil Doradla - William Blair: Thanks a lot and best of luck Vishal.
Dr. Vishal Sikka: Thank you Anil.
Operator: The next question is from Rishi Jhunjhunwala of Goldman Sachs. Please go ahead.
Rishi Jhunjhunwala - Goldman Sachs: Yes hi, thanks for the opportunity. I just wanted to get a sense of – Vishal, this question is for you; just a sense of conversations that you have been having with the customers and with the employees in INFY over the past 70 days. What are the key concerns that have been highlighted by the customers regarding INFY and the key issues that would have been raised by employees during your conversation? And as a follow-up, what were your responses to them and did anything come as an unexpected surprise. Thank you.
Dr. Vishal Sikka: That’s a great question. I think that all the clients that I talked to increasingly and this differed across industries, but increasingly all the clients that we talked to no longer have the patience for what we could call Yesterday’s Services. They don’t want to have staff augmentation or labor arbitrage, simply for the sake of saving costs. They aspire to have improvements in business processes, better outcomes. They want to learn what new ways are of running processes, of running businesses efficiently, they want to understand how to innovate and they want to help in getting into new areas. So if anything, their primary frustration is in not having a more innovative mindset, not having a more open mindset towards how business outcomes can be improved, how business process excellence can be achieved and things of that nature. In other words, I have across my interactions with several hundred clients, have seen a tremendous dissatisfaction with the way IT services of yesterday use to be and a tremendous desire to engage on new kinds of ways of bringing value and innovation and so forth. And with employees it is a similar thing. They look for a great purpose to work on innovative projects, to work on next generation kinds of things. They also look for simpler, efficient ways of working, efficient systems, efficient processes and so on. So we have been focusing heavily on that, on dramatically simplifying our own complexities, on improving our operational efficiency and things of that nature and over time, as these things become more concrete and some of the results start to become more visible, we look forward to sharing those with you.
Rishi Jhunjhunwala - Goldman Sachs: Thank you.
Operator: Our next question is from Edward Caso of Wells Fargo. Please go ahead.
Edward Caso - Wells Fargo: Thank you. Good evening. I guess my question is on capital deployment with $5.2 billion in cash and well over $1 billion in cash generated every year. Could you update us on your cash dividend payout strategy? Maybe as a percent of cash flow what you might want to direct towards acquisitions and whether a repurchase, stock repurchase is a part of the board consideration. Thank you.
Dr. Vishal Sikka: Maybe I can start and then Rajiv, you can answer this in more detail. First of all well, we are very proud of the $5.4 billion in cash that we have and we believe – first of all we believe that it is a little bit early to make a more precise statement about this. I and our management have not yet had enough time to sufficiently articulate in detail the strategies that I have laid out. We will do so over the next couple of quarters and so around the April timeframe where we start our financial year, I would expect to be able to give more precise answers on capital allocation and things of this nature. Having said that, as you can tell, I have a very innovation oriented mindset here. We see Infosys as an innovation driven company, as a growth driven company and we see tremendous opportunity to leverage that cash that we have towards these objectives. Rajiv.
Rajiv Bansal: Hi. So Vishal said, I think its – we have to wait to detail out our plans, what Vishal has laid out as a high level strategy today. We have to work on our business plans, on the execution strategy, on what kind of allocation of capital that we do between different strategies and different execution engines that we want to come out with and only after that will it be appropriate for us to be able to say exactly how much of the cash is going to be accessed or not or whether its going to be less than what we need. Having said that, the board every quarter during their derivation look at the capital deployment and as and when they feel appropriate, I think they will take the right decision.
Edward Caso - Wells Fargo: Right. My other question is your talking about a real change in personality for Infosys and your going to work with your deployment group on the knowledge side. What about your sales organization? Can you adjust the capabilities of the group you have or will you have to seek significant outside talent to execute on your strategy. Thanks.
Dr. Vishal Sikka: And just as on the operational side, we are in the process of revitalizing our sales team, our sales and marketing functions towards this type of operational excellence, towards being able to articulate values to do solutioning, to be able to get into new areas to do design thinking together with plans, to do co-creation. So that means the same rescaling that we have talked about in other areas has to also apply to the sales part of the organization and we are already working on this. As I mentioned, the first set of trainings in these new areas for the leadership of sales has already happened, derivative of consulting has already happened. But as we go forward we will also be adjusting our processes, the way we manage the pipelines, the mine accounts, the way we – to change the level of the dialogue that we have directly, to go engage more with the CXO suite, as well as the compensation structures and things of that nature. So we are looking at – we have already started this. So Mr. Moorthy started this more than a year ago and we are going to continue that heavily, because we believe that we will need a world-class sales operational and sales and operational excellence in order to achieve the objectives that we have talked about. However I do believe that we have the elements in place already, so that this rescaling and this transformation can be done from within and we don’t need to do a structural change to do that.
Edward Caso - Wells Fargo: Thank you.
Operator: Thank you. Our next question is from Keith Bachman from Bank of Montreal. Please go ahead.
Keith Bachman -Bank of Montreal: Hi, thank you. I have two as well if I could. The first one is you talked about the financial services industry. Could you talk a little bit out, is this more Infosys or is this a broad base impact across the industry and related to that if you could talk about, you mentioned a new leadership change. What are the objectives there, what’s the strategy thing to kind of revitalize growth and then I have a follow-up please.
Dr. Vishal Sikka: So I think that you have to separate the financial services vertical performance from the finacle performance. Finacle is our core banking product and the product suite where we had a very dissatisfying quarter and we have made a leadership change. We have brought in a great new leader with Michael Reh to run the Finacle business and we expect that this business will get back to growth and success. We have a great installed base in Finacle with almost 180 banks around the world servicing 0.5 billion people and it is if you look at analysts reports and so forth it is, view it as the best and if its not one of the best banking products in the world. So we are very excited about that. I mean we have had issues with this over the last few quarters and we have already taken an action there. With regard to the broader financial services business, this continues to be a great business for us and is growing and I’ll ask Mohit who runs our financial services business to talk more about it.
Mohit Joshi: Yes, I think on the financial services business, it has grown by 2.5% quarter-over-quarter on a constant currency basis. We have grown much faster than Europe and I think what we’re seeing is there are four key trends that we’ve spoken about even earlier, which is industrialization, digital, risk and compliance and infrastructure modernization, and so I think for the second half of the year we remain cautiously optimistic on the opportunities.
Keith Bachman -Bank of Montreal: But you didn’t mention what the issue was and you said you are fixing it, but I didn’t hear what the issue was over the past couple of quarters.
Mohit Joshi: The issues of Finacle have been basically across the board from the development and operations to sales, the efficiency of the development processes. It was simply a IC that as an organization that it sort of stalled a little bit and its stagnated and you saw that in the business performance over the last few quarters and so we believe that with a great leader, with a development in an innovation oriented mindset, we will be able to get this business back to growth fairly quickly.
Keith Bachman -Bank of Montreal: Okay. Let me ask my follow-up then. As you mentioned in interesting roadmap surrounding investment opportunities, could you at least give us some perspective on how long into areas like AI, what’s the investment period that you envisioned. Is this a multi year cycle of investments and if it is such, would you anticipate at least directionally that margins would decline during this investment cycle. Thank you.
Dr. Vishal Sikka: I don’t have a very precise answer for you on the AI one. I think my sense is that it is going to be a multi year effort. We will detail this out over the next couple of quarters to be more precise about it. However we will go about this in a very swift and efficient way. In a very incremental and iterative way as we bring these to life. Some of the solutions that I talked about, like an area of bringing AI techniques to helpdesk or to language processing for applications in insurance and banking and so forth, these we have already started on. But to do a much more massive embrace like the kind that I have in mind will take multiple years. In other areas like in Big Data, we are already seeing – I mean we have a few dozen POCs going already with huge clients around the platform that I mentioned, which brings together an assemble of open source based technology. There is a lot of exciting work happening there together with proprietary and our partner technologies in information processing. To bring great new Big Data analytical solutions to life and we have already started to work with our clients in this area and that work is something that we are really excited about.
Keith Bachman -Bank of Montreal: Okay, thank you.
Operator: Thank you. Our next question is from Jamie Friedman of Susquehanna Financial Group. Please go ahead.
Jamie Friedman - Susquehanna Financial Group: Hi. Vishal, my question was I was hoping to get your perspective on the software landscape and what I want to know is, do you think that your software partners will be more or less important in the future of Infosys than they have been in the past?
Dr. Vishal Sikka: They will continue to be significantly important to us. We work in an ecosystem. Our clients work in an ecosystem. Their landscapes are not only heterogeneous, they are permanently heterogeneous. They are going to look at a company like us as a neutral provider of advice and guidance, as well as help in managing these heterogeneous landscapes. So we ourselves in that light and we see ourselves in a very symbiotic relationship with our ecosystem partners and I continue to see the strength of that going forward. We do see in the new side of the equation, in the next generation solutions we see a tremendous embrace of open source products of new platforms, what many people call the third platform and so forth and these are much more cloud oriented, cloud scale, open source based technology platforms which have a much higher, a much different cost performance profile compared to the traditional interface platforms. So in that sense, in the new areas I think that you will see more and more work done on these kind of approaches, but working together with an ecosystem of partners and especially software partner, its fundamental to the Infosys story and will continue to be the case.
Jamie Friedman - Susquehanna Financial Group: Thank you.
Operator: Thank you. Our next question is from Ravi Menon of Centrum Broking. Please go ahead.
Ravi Menon - Centrum Broking: Thank you for the opportunity. There are two questions, one is due for Vishal and the other is for the CFO. One is, Vishal spoke of the sales leadership already adding some new talent and could you elaborate how your deepening your ability on the sales side to understand customer needs. For instance are you hiring senior technologists with experience in the domains like CIO is from a particular segment like retail for instance.
Dr. Vishal Sikka: Yes, we have been adding new talent across, especially in the higher ranks of our health organizations to bring in more domain expertise, to bring in more expertise in solutioning and so on and we’ll continue to do that. But increasingly we see a need for clients who see us as advisors, especially in new areas and to do that we need to bring in the new kinds of skills in co-creation, in thinking together and working together with clients on what next generation problems are like. We are already starting to do engagements like this. Many of our leaders are working on things of this nature, so perhaps I can ask Sandeep who has been doing this in the retail and CPG area, to share his experience and how his sales team has been able to do some of these kinds of engagements already in new areas.
Sandeep Mahindroo: Sure. This is Sandeep and what we’ve been doing is inducting talent from MBA universities at the lower levels and at the senior levels, also going through design thinking training on the lines of some of our new solutions. If you take the new Infosys information platform as an example, that we launched literally a few weeks ago, even in the few weeks that have ensued, the sales team has gone out and had multiple dozens of conversations and already engaged in multiple proof of concepts with clients to prove these new platforms out and then engage at a larger scale. So there is both, outside talent coming in, as well as internal talent being trained and aggressively running campaigns with new, more powerful solutions. Thank you.
Ravi Menon - Centrum Broking: Thanks. I appreciate the clarification. Secondly, Rajiv, if you could clarify, there was any room for cutting talent in the G&A side, because last quarter you had a real 1.5% in the portion for impairment foreseeables, but this quarter I see your G&A is still flat Q-o-Q. So is there any room for leverage there to offset some of the sales and marketing investments?
Rajiv Bansal: No, we continuously keep looking at opportunities for optimizing our costs further and G&A is one area where we have optimized over the last many, many quarters. I think we also have to ensure that we drive more productivity and improve our processes in the G&A area. So that is one area that we continuously keep looking at. But again if you compare it with the rest of the industry, I think it’s the lowest in the industry. Even if your able to optimize costs further, it may not be very significant on the P&L. So we have to look at cost optimization all across our management, be it the (inaudible) organization, the sales organization, in the best functions. So I think that’s something that we do on an ongoing basis.
Ravi Menon - Centrum Broking: Great, thank you. Best of luck!
Operator: Thank you. Our next question is from Karan Uppal of Equirus Securities. Please go ahead.
Karan Uppal - Equirus Securities: Yes, hi. I have a couple of questions here. So first I wanted to ask them, when you’re trying to implement the consulate designed thinking, which you find that again stand and binds more exploratory thinking around any kind of solution. So in a timeframe of the services business generally you could deliver it in a short period of time on a specified deadline, don’t you think it’s a radical change in the way it could be implemented successfully in this business model?
Dr. Vishal Sikka: I don’t see that as a radical change. I see that as an evolution of the way that we create opportunity in new areas. I see that as a great methodology for helping our clients think through what their approach needs to be in some of these unchartered, unprecedented kinds of new territories and new containers that they need to get into and that applies to every industry as they go through the digital transformation. So in many ways I guess you could say that I see that as an inevitability that we have to do that and when you look at it operationally, that takes the shape of something that is complementary to the normal traditional services, so you would say I have a handful of design projects which are small, incremental, rapidly done, but high value and high margin. Complement the existing kinds of services that are happening at the same client and increasingly we’ll see sort of this mix off of these things, where design thinking is used to on the one hand improve the existing services that we bring and existing projects that are going on and on the other hand to do new short time window, highly iterative, high value projects that are in new areas and therefore of significant importance to clients and we’ll see a mix of both of these.
Karan Uppal - Equirus Securities: Okay. The other question was more on the BPO side. So recently we have seen and as you have also pointed out in your opening remarks, that companies, including the IT vendors have been kind of building on acquiring these so called industrialized platforms and then offering it on a pay as you go model to the end users. So this is the future of business scenario if you envision it to be likely. Would that create a case where a winner take all paradigm for the guide who holds the so called successful platform in a specific vertical or will there be room for everybody to participate in that kind of movement?
Dr. Vishal Sikka: It is too early to tell. I would see definitely an opportunity where someone who can offer a much more integrated stack with a next generation business process management offering, which has heavy use of improvement built into it using automation and artificial intelligence, together with the ability to run that infrastructure and the associated applications and so forth could have an advantage. On the other hand, clients might also decide that putting too much into the hands of one vendor might be too risky and so my sense is that you’ll see a mix of those, but it is too early to tell. This idea of integrated IT and BPO or Business Process as a service is still very early and we are seeing signs of these opportunities emerge on both sides where some where clients have a very clear partitioning across the kinds of offerings and others where we do the integrated offerings.
Karan Uppal - Equirus Securities: Okay. If I can just squeeze a last one for Rajiv or just two. One, was that how do we read in your client metrics. We have like the $300 million going from one to zero, how should we read that? And secondly if you can just help us with the margin bridge for the quarter?
Rajiv Bansal: Yes, on the margin – I’ll answer the second part first. On the margin if you look at it during the quarter, utilization improved by 2.3% and the rupee had also depreciated by about – the rupee had depreciated during the quarter, which had given us a benefit of about 0.3% of the margin. Those put together actually helped us improve our bidding margins by about 100 basis points. What was the first one?
Dr. Vishal Sikka: $300 million client.
Rajiv Bansal: Yes, on the $300 million client, this is calculated on an LTM basis and it depends on the run rate of the client over the last four quarters. So the largest client has dropped off from a $300 million client it is about $290 million or you know typically it depends on the run rate. Four quarters back there was a revenue, which was good or bad. Depending on the clients the total revenue from client would keeps shifting. So again, on a quarter to quarter basis there’s not much to look into it, but yes, the good part is that if you look at the $1 million clients and the $5 million clients and the $10 million clients, I think the numbers have been increasing consistently with the last many quarters and that is something which gives us the confidence about the future.
Karan Uppal - Equirus Securities: Okay, thanks. Thanks gentlemen. All the best!
Operator: Thank you. Our next question is from Ashwin Shirvaikar of Citigroup. Please go ahead.
Ashwin Shirvaikar – Citigroup: Thank you. Vishal, good message on the automation and digitization fronts , I sort of agree with you on both these trends, but one of the things is that both digitalization and automation implies a major change from the current FTE basis of thinking and when you kind of correlate that with your own experience speaking with clients in the last 70 days, where you say many of these clients are unhappy with the old style of outsourcing, are these clients – how willing are these clients to change sort of the way they contract with you and go from a FTE basis to maybe a different basis.
Dr. Vishal Sikka: It is a mix. So there are clients of course in certain industries and certain geographies who see a great need for this, an urgency to do these new kinds of projects, whereas in other industries and other geographies they are looking at these, they are experimenting with them, but they continue with the existing one. So it is a kind of a distribution of, you could say innovative from the ones that need the most urgency, depending on the nature of the situation. In those cases where they do see the urgency of the outgoing innovative projects, we see a tremendous willingness to try out new models, new ways of articulating the value or sharing the value or having us share a portion of the value that is created and new ways of contracting to achieve that and so forth. And so it is a mix and I think that you have to adopt a kind of a tiered strategy depending on the nature of the client and the depending on where they are in their evolution of their particular business and how they see their business evolving. This is one of the areas that we will articulate in more detail over the next couple of quarters as our large-scale sales strategy towards these approaches becomes clearer. Presently what we are doing is, with early adopters we are engaging in these kinds of projects like the few dozen big data projects that I talked about or the adoption of artificial intelligence or connected car and things of this nature. So as the early success of those early adopters gets us into more and more experience that we then use to drive more scale in those businesses.
Ashwin Shirvaikar – Citigroup: Got it. And then a more near term question. You added 49 clients this quarter. As I look at the number of clients added in the last eight quarters on average, that number is 59. I know it can jump up and down, but 49 I think is probably the lowest number since 2Q’13 for you guys. Is there anything to read into that with regards to maybe what’s going on? Is this a result of maybe sales force turnover or what’s going on here?
Dr. Vishal Sikka: No, no, no. I wouldn’t read any of that into it.
Ashwin Shirvaikar – Citigroup: Great. Could you elaborate on what’s going on?
Dr. Vishal Sikka: I think there are many factors that go into new kinds of deals, into sizes of deals and how the contracting processes are like and so forth. So depending on the nature of the deals that happen to be in the pipeline or near closure in that particular time period is what determines the number of deals that we get in a quarter, so it is always a mix of these things. So the fact that the number of deals is what it is, my sense of it is this is of no consequence. Perhaps Pravin, you can add something to that.
Pravin Rao: We actually have added a lot of bandwidth to the sales as well. We have added 150 account managers. We have added about 170 people, sales folks where we hired from leading business schools in the US. So we have increased the sales bandwidth, so I think it’s not a secular turn, so I don’t think we should be leading too much into it.
Ashwin Shirvaikar – Citigroup: Got it. Understood. Thank you guys and all the best.
Operator: Thank you. Our next question is from Rishabh Chudgar of Enam Holdings. Please go ahead.
Nihar Shah - Enam Holdings: Hi sir. This is Nihar Shah here from Enam Holdings. I just had one question. In terms of your strategy that you’ve outlined, can you sort of elaborate a little bit on how that will impact the future hiring. In the sense, would it be more towards the lateral versus freshers and how do you see that sort of also impacting the pyramid as you execute on your strategy over a three to five year timeframe. That’s all from my side.
Dr. Vishal Sikka: I think in the near term it is too early to say that there is any structural change to how we hire. We are simply committed to diversify the global, the workforce that we have in all major dimensions, but I would not see a significant change in the hiring, simply because the nature of the new things is such that it is still very, very small and very early. I mean typically at Infosys we hire close to 10,000 people in the near and if we hire a couple of hundred data scientists and so forth, it doesn’t really change the overall picture that much, even though it is an incredibly strategic area for us. So I wouldn’t see a great change in the mix of hiring in the near term, however we are very committed to diversifying the nature of our workforce, bringing in additional talent in many different areas, whether it is in geographies or in new skills and so forth and we will continue to do that.
Ashwin Shirvaikar – Citigroup: Great. That’s all from my side. Thank you so much.
Operator: Thank you. I now hand the floor back to Mr. Sandeep Mahindroo for closing comments.
Sandeep Mahindroo: Due to time constraints we will not be able to take any further questions. We thank you all for joining us on this call and look forward to talking to you again. Have a good weekend ahead.
Operator: Thank you. Ladies and gentlemen, on behalf of Infosys that concludes this conference. Thank you for joining us and you may now disconnect your lines.